Operator: Greetings, and welcome to the StandardAero First Quarter 2025 Earnings Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Rama Bondada, Vice President, Investor Relations. Rama, please go ahead.
Rama Bondada: Thank you, and good afternoon, everyone. Welcome to StandardAero's First Quarter 2025 Earnings Call. I'm joined today by Russell Ford, our Chairman and Chief Executive Officer; Dan Satterfield, our Chief Financial Officer; and Alex Trapp, our Chief Strategy Officer. Alongside today's call, you can find our earnings release as well as the accompanying presentation on our website at irstandardaero.com. An audio replay of this call will also be made available, which you can access on our website or by phone. The phone number for the audio replay is included in the press release announced in this call. Before we begin, as always, I'd like to remind everyone that today's earnings release and statements made during this call include forward-looking statements under federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission, including in the Risk Factors section of our quarterly report on Form 10-Q for the 3 months ending March 31, 2025, and our annual report Form 10-K for the year ending December 31, 2024. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, for future events or otherwise, except as required by law. Additionally, during today's call, we will discuss certain non-GAAP financial measures such as adjusted EBITDA, adjusted EBITDA margin, free cash flow and net debt to adjusted EBITDA leverage ratio. Definition and reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings release and in the appendix to the earnings slide presentation on our website. Non-GAAP financial measures should be considered in addition to and not as a substitute for GAAP measures. With that finally out of the way, I'd like to now turn the call over to our Chairman and CEO, Russell Ford. Russ, over to you.
Russell Ford: Thank you, Rama. Thanks to everyone for joining our earnings call today. I'd like to start off by welcoming Rama Bondada, our new Vice President of Investor Relations to the StandardAero team. We couldn't be more excited to have Rama and his experience as part of StandardAero. So let's begin now on Page 3. 2025 is off to a great start. We delivered strong first quarter results with revenue growing 16% year-over-year and adjusted EBITDA growing by 20%. Our performance this quarter reflects strong execution across both engine services and component repair services as well as continuing demand across our key end markets, commercial aerospace, business aviation, military and helicopter. Our commercial aerospace grew 18% year-over-year, driven by strong demand across major platforms and continued growth in engine maintenance activity. Despite recent headlines of slowing growth at some airlines, we continue to see strong global demand for maintenance from our customers. Historically, airline operators have taken a longer-term view when it comes to any changes in critical engine maintenance. So we aren't typically impacted by short-term volatility in passenger traffic. From what we're seeing, the outlook for the commercial aftermarket remains very strong with long-term demand visibility in an MRO-constrained market, and our backlog remains robust. Moving to our other end markets. Our Business Aviation Group increased 13% versus Q1 last year with solid demand on engine platforms that power midsize, super midsized and large cabin business aircraft. Our military business grew 10% with the contribution from our Aero Turbine acquisition last year as well as growth on our J85 program. Our adjusted EBITDA margins continue to expand with a 40 basis point improvement this quarter. This was driven by our continued growth, price and productivity initiatives and also favorable mix on our higher-margin component repair segment, which continues to become a larger portion of our business. Our Engine Services segment saw a favorable work scope mix, which offset initial lower-margin LEAP work as we work through the industrialization learning curve on that platform. In the Component Repair segment, we saw increased higher-margin repairs and continue to see the benefits of pricing and productivity actions. These results highlight the strength of the StandardAero business and the inherent durability of our purposely diversified portfolio in which we service over 40 engine platforms covering all major engine OEMs and end markets. We think this portfolio construction and our positioning as the world's leading independent MRO enable us to smoothly navigate the dynamic global macroeconomic and trade environment in which we operate. Turning to Page 4. On the tariff front, we're in a good position to manage through the current uncertainty and minimize the potential impact to our business. We are having daily conversations with our customers and OEM partners alike and have mitigation actions identified and being implemented. Some of these include contractual mechanisms where many of our contracts allow us to pass on these costs, other pricing opportunities and continuous cost improvement actions. The work at our Canadian facilities continues to be USMCA compliant and exempt from tariffs, and we expect that much of our work that's performed in the U.S. for international customers will have lower exposure given the recent progress on trade negotiations. Based on what we know today, we estimate the net impact of tariffs will be on the order of $15 million for 2025. However, given our solid performance thus far and the strong demand we're seeing, we are raising our sales and earnings guidance for the year, which now incorporates the additional net tariff impact of $15 million. Dan will provide more detail on our increased guidance later during this call. In addition to the strong financial performance and positive demand backdrop, we also continue to execute across our strategic priority areas that will drive value in 2025 and beyond. First, we're focused on the continuing ramp of our LEAP program. After achieving multiple key milestones in 2024, we continue to make strong progress this year. We've secured additional regulatory approvals for our LEAP 1A and 1B engines from Indian, Japanese and Emeriti authorities expanding our ability to support a broader set of airlines globally. And while not listed in our Q1 results, we just completed our first LEAP shop visit and delivery. We remain on track to complete the final industrialization steps this year, deliver our first PRSV in the second half and continue to ramp this large multi-decade program. The long-term demand outlook for LEAP engines continues to grow every quarter, and we're seeing our pipeline and contract award momentum built. During Q1, for example, we secured 6 new LEAP customer awards, which we expect to represent over 150 shop visits over the term of their contracts. Second, we continue to capitalize on investments we've made in CFM56 and CF34 by leveraging new capacity we added to our Dallas site. We saw a record quarter on the CF34 platform following our investment to expand our GE relationship at the end of 2024. In addition, we continue to add key new customers for the CFM56 such as our recent win with Indonesia's largest airline Lion Air. We're one of the only independent MRO businesses in the world adding capacity on the CFM56 platform, which remains the largest installed base in the history of aviation and an estimated 40% of all CFM56 engines in service have not yet gone through their very first shop visit. So this is an enduring revenue stream. Third, we're continuing to expand our engine component repair capabilities. We made significant progress last year, especially on developing new LEAP repairs. And this year, we're pushing hard to grow with more high-value repairs across multiple platforms. That includes new repair introductions that will drive both third-party sales and in-sourcing on addressable repairs from our own engine services business as we continue our initiative to drive closer alignment between our 2 segments. This improves our cost turn times margin. Finally, we're staying active on the M&A front. We have a growing pipeline of targets and ample balance sheet capacity. We continue to be disciplined and focused on capital allocation where we see strong strategic and synergistic alignment. With an excellent start to the year, a very favorable aftermarket position and our continued discipline around specific priorities, we remain optimistic. And as a result, are subsequently increasing our 2025 guidance. We continue to expect strong revenue performance with double-digit growth as well as continued adjusted EBITDA margin expansion. I'll stop there and turn it over to Dan Satterfield, our CFO, to walk through our financial results and outlook in additional detail. Dan?
Daniel Satterfield: Thank you, Russ. I will begin on Page 5 with some highlights of our first quarter results. For the first quarter ended March 31, 2025, we generated revenue of $1.4 billion as compared to $1.2 billion for the first quarter last year, representing 16% growth, of which 14.4% was organic. We saw strong growth at both our engine services and component repair services segments. Adjusted EBITDA increased to $198 million for the first quarter of 2025 compared to $166 million for the prior year period, representing 20% growth. This was driven by top line strength along with a favorable platform mix and continued expansion in our higher-margin component repair services segment, including the acquisition of Aero Turbine. Adjusted EBITDA margins continue to expand with this quarter's 13.8%, 40 basis points higher than Q1 of last year. Net income increased to $63 million for the first quarter of 2025 compared to $3 million for the prior period, driven by increased earnings paired with reduced interest expense from debt paydown and subsequent refinancing events. Free cash flow was a use this quarter, which was in line with our expectations given our investments and typical seasonality and represented an improvement of $38 million over Q1 last year. I'll dive a little deeper into cash flow on a later slide. Now moving into our 2 segments, starting with Engine Services on Page 6. Engine Services revenue increased by $171 million to $1.3 billion in the first quarter, representing 16% growth compared to the prior year period. The increase was driven by robust demand in the commercial aftermarket, where we saw a strong performance in our turboprop engine business and a record quarter on the CF34 regional jet platform as well as continued growth in the business aviation market. The military end market was flat this quarter, primarily due to timing of inputs. On the earnings front, Engine Services adjusted EBITDA grew 16% in the first quarter, driven by the strong revenue growth. Adjusted EBITDA margins were roughly flat compared to the prior year period, driven by mix headwinds from the LEAP and CFM56 Dallas growth programs, which initially have lower margins as production ramps. On Page 7, Component Repair Services first quarter revenue increased 21% compared to the prior year period to $167 million. Growth was supported by our ATI acquisition, which contributed $22 million in Q1 and also strong performance in our land and marine aeroderivative programs. This was somewhat offset by temporary headwinds from the impact of a facility consolidation which resulted in some machinery and labor downtime and the exit of a low-margin noncore accessories product line, which were 2 business improvement initiatives we executed in the quarter. We also saw some slower timing of inputs which are now expected to arrive in the second half of this year. In the quarter, CRS adjusted EBITDA grew 32%, which was the result of our revenue growth and over 240 basis points of margin expansion to 28%, driven by productivity improvements, pricing and good performance and synergy realization at ATI. Now moving to Page 8, I'll discuss our free cash flow for the quarter. Free cash flow was a use of $64 million. Q1 tends to be our lowest cash flow quarter due to working capital seasonality and payment of year-end taxes. So this was expected and the figure represented a $38 million improvement year-over-year versus Q1. Our strong earnings performance and interest expense reductions this quarter were offset by higher working capital requirements and increased capital expenditures aligned with our strategic growth initiatives, specifically the CF34 license payment as well as tooling and other investments for the LEAP program and the new CFM56 Dallas site. Turning to Page 9. Our leverage at the end of the quarter improved to 3.09x compared to 5.7 at the end of Q1 2024 and 3.14x at the end of fiscal 2024. While we are pleased with where we sit from a leverage perspective, we are also focused on continuing to deliver the business through earnings and cash flow growth and are targeting long-term net leverage between 2x and 3x and remain on plan to do so. We are in an attractive position with multiple avenues where we can allocate our capital to drive strong returns. This includes continued focus on organic investments, winning new engine platforms like LEAP and accretive acquisitions like ATI where we can create meaningful synergies. Now to our guidance on Page 10. We feel really strong about the start to the year with outstanding results in both Engine Services and CRS, driven by strong demand across our end markets, and we expect performance to continue throughout the year based on outlooks from our customers. We are executing well, and our operational improvements continue to support increased levels of performance. As Russ mentioned earlier, we are increasing our revenue and adjusted EBITDA guidance ranges from our March earnings call, and may now also incorporate our estimated net impact of tariffs on our business of about $15 million based on where we are today. We now expect revenue in 2025 to be between $5.825 billion and $5.975 billion and adjusted EBITDA is now expected in the range of $775 million and $795 million. The increase in our sales and adjusted EBITDA guidance is from our Engine Services segment. This increase reflects continued strong demand in our core aftermarket services, including low double-digit to mid-teens growth from our commercial aerospace end market. High single-digit growth in the business aviation end market and high single-digit growth in the military and helicopter end market. With that, I'll turn it back over to Russ to wrap things up.
Russell Ford: Thank you, Dan. Now to summarize, we are off to a terrific start in 2025, highlighted by double-digit revenue growth, continued margin expansion as well as an increased outlook for the year. While we recognize the geopolitical and macroeconomic uncertainty, all businesses face today, we've built a solid foundation. We continue to see good momentum in the engine aftermarket and have positioned ourselves to benefit from our strategic investments, expanded component repair capabilities and new business awards that will enable us to deliver our committed results in 2025 and beyond. That concludes our remarks for Q1. And with that, operator, we're now ready to move to the Q&A session.
Operator: [Operator Instructions] Our first question today is coming from Seth Seifman from JPMorgan.
Seth Seifman : Good results. I think I know the answer to this question, probably, but I just wanted to dig in on it a little bit more because it is something that came up during the quarter is that we've seen U.S. airlines talk a little bit about slower capacity. I think there's an association that people have with maybe CF34 in particular with the U.S. airlines. Obviously, that was very strong in the quarter. And so if you could just talk about what gives you confidence in the visibility on that platform and the ability to keep growing there.
Russell Ford: Okay. Yes. Thank you, Seth. Good question. And not unique to CF34, but clearly, CF34 is one of the largest embedded platforms flying out there. And what we see is that there really hasn't been any pullback on maintenance activity from airlines despite some of the comments I've made about the volatility and passenger loading. As you are aware, engine MRO is nondiscretionary, it's usually the last thing that airlines look at if they're experienced some types -- experiencing some type of weak air travel demand, they will cut discretionary aftermarket things like cabin upgrades long before they will move into engine maintenance because of the lead time involved in getting slots for Engine MRO. So that's been our experience over the years and that dynamic has not changed.
Seth Seifman: Okay. Excellent. And then as a follow-up, maybe just the M&A environment, you talked about having opportunities on the capital deployment front. I guess kind of at the top end of the leverage range right now. A lot going on right now in terms of probably the way that people are thinking about the future. What does that mean for you? Does it make you more apt, less apt to do M&A? Are there more opportunities, fewer opportunities? How are you thinking about that?
Alexander Trapp : Yes. Seth, it's Alex. Really no differently. We're obviously spending money on these key programs, but that doesn't keep us off of the M&A hunt. We still see ourselves as having plenty of balance sheet capacity, plenty of free cash flow to invest. And so we feel well positioned to stay on the hunt for M&A opportunities and the environment out there has gotten more robust over the last few months. So lots of attractive targets, still that meet the key criteria for us, which is strategic fit, synergies and both of our segments have a handful of different opportunities that are sort of sitting in the pipeline. So we like how the environment looks out there. I can't predict the timing, of course, but full of attractive opportunities.
Operator: Next question today is coming from Myles Walton from Wolfe Research.
Myles Walton : I was hoping you could comment on Engine Services and the growth there in the quarter, looked more military and CF34 driven. Curious, CF 56 and the LEAP are obviously big parts of the '25 revenue drivers, should that occur in the second quarter? And kind of how much margin headwind should we expect as that folds in?
Russell Ford: Thanks, Myles. On the military side, the real drivers are both transport as well as military. We have large position on C-130 aircraft, both the classic B2H models and J model, which operate the T56 and the AE2100, respectively. That set of actions is pretty consistent over time. You might see some pickups if there's some type of award that escalates and you have more troops and material that need to move, but that's fairly consistent. And then we also have our fighter business, where we do engines for the F-16, F-15EX. And we also do work now on the T-38 trainer platform, which we just recently expanded to pick up the F5 which is the foreign military application for the J85. And all of those programs are not really impacted by anything that's going on over in the Ukraine at the moment. So this is a good, solid type of steady-state underpinning on the military side of the business.
Myles Walton : Maybe just a quick follow-up I could. The LEAP business transformation LEAP and CFM56 business transformation costs, are those expected to be running at this run rate? Or how quickly do those run off through the course of '25.
Daniel Satterfield: Yes. We're on track, Miles. We talked about that in Q4, the business transformation costs. Actually, that's included in our major platform investments of $90 million. That includes both the capital expenditures and the business industrialization costs. You'll see on Page 8, we -- that figure is now $36 million in Q1. That's right in line with our expectations. So we did see margin headwinds in Engine Services as a result of LEAP and CFM56 revenue growth. That's why the Engine Services margins are flat. Excluding that, they would be accretive.
Operator: Next question today is coming from Sheila Kahyaoglu from Jefferies
Sheila Kahyaoglu : So maybe 2 questions, related to each other. So I guess it's a follow-up. But first on margins. When we think about margins started off very strong for the year, the 13.8% EBITDA margin versus the full year guide implied about 70 bps of contraction for the remainder of the 3 quarters. What's really driving that? Is that the CF34 program picking up. Can you talk about that, please?
Daniel Satterfield: No, we're still holding -- well, of course, we've increased our guidance, and we're also managing the tariff headwind. So you can tell that our margins are pretty strong and the expectations are strong for the rest of the year, in particular as a result of the ability to absorb that tariff impact that Russ talked about. If you talk about margin headwinds throughout the rest of the year, they're really only on the LEAP and CFM56 growth. So those are going to grow. We talked about those being 0 margin or approaching profitability during 2025. And as those revenues grow, they have a greater dilutive impact. Of course, I have to reiterate, we expect both those programs to be accretive long term.
Sheila Kahyaoglu : Great. And then if I could ask another one on free cash flow, please. If you could just talk about how much of the $90 million of major platform investments and free cash flow were in the first quarter? And how do we think about that $64 million of usage in Q1 versus the full year guidance?
Daniel Satterfield: Yes, no problem. So if you look at Page 8, we do call it out. And that box is really equivalent to the $90 million, right? So it's $36 million of major platform investments in Q1 that composed -- it's composed of LEAP of 19, CFM56 of 2, and then importantly, the CFM34 license of 15. So it's a little weighted heavy because that 15% license I'm paying in Q1 and Q2. So the weighting of that $90 million is a little heavier in the first quarter and the first half. But that is representative of that, and we're still on track to spend that $90 million for the full year on those highly accretive programs.
Operator: [Operator Instructions] Our next question is coming from Ron Epstein from Bank of America.
Ron Epstein : Russ, just circling up on when we talked a while back, you suggested maybe there'd be some opportunities for you all with widebody engines. Just curious how that's going.
Russell Ford: Yes. Thank you, Ron. We're constantly looking at growth opportunities -- and we have -- we've made very good progress in terms of platform expansion and new platform acquisition for both regionals and narrow body. We continue to look at the widebody market. There are not as many engines applications in that part of the market, but we continue to be very close to the OEs and as they get more and more of the bigger XWBs and G90s into the market, we are considering ways that we may enter into that market. And there's a number of ways you can do that through acquisitions, through joint ventures or through just initial start-up. So we are watching it very closely, looking for the right opportunity for us to begin to deploy capital in that area. In the meantime, we have terrific opportunities, even stronger opportunities for deployment of capital into things like expanding our CRS business, which is a lot more value accretive for us.
Ron Epstein : Got you. And then it might be early days, but do you have any initial thoughts on the Section 232 investigation that's going on? And maybe what implications it could have, if any, on MRO?
Russell Ford: Yes. Thank you for that, Ron. We've spent a little bit of time talking about this, thinking about it. It's a new hurdle that has just come about really in about the last 72 hours. So not really much as known about this other than just it's been announced, there's going to be some work here. We obviously don't even know exactly what's going to be within the scope. We don't know what the outcome is going to be. So at this point, I would not want to speculate on any type of impact because we don't yet exactly know what is going to be looked at. But one thing is I think is reasonably sound to say, and that is that this is likely wrapped up in the trade negotiations that are going on and could be a lever there. but we'll -- it's just too early for us to speculate.
Operator: Your next question is coming from Doug Harned from Bernstein.
Doug Harned : When you're looking at building out more and more not more capacity, but actually more activity both on the LEAP and CFM56 is as you've talked about, right now, as you said, it's margin dilutive. But presumably, once you fill those facilities to have better operating leverage, it should be -- they should both be very attractive programs. But trying to get a sense for how long you think it will take to sort of fully utilize the San Antonio and DFW facilities?
Daniel Satterfield: Well, there's a great point, and you're right. There's a couple of factors on the accretive nature of those programs, which we are completely convinced that they'll get there. First of all, don't forget what we call the learning curve. As technicians get more experienced on an engine, we see that the hours go down, the margins go up. So that's one. And that learning curve is both on the LEAP and the CFM56. Even though we did the 56 in Winnipeg today, in Dallas, it's a newer program. So 2 things are going to happen. Margins will go up, A, as we build out the sites and have stronger revenue; and B, as we go up the learning curve. And both of those are proceeding as planned. There was a comment earlier today as their LEAP and CFM56 aren't big drivers, no. They are absolute drivers of Q1 revenue. They're in the top 4 of our platforms that are creating revenue. And we are seeing the impact of chewing up the industrialization cost on that and then the learning curve. So we both -- we think for both of those reasons, those platforms will be accretive.
Doug Harned: And then separately, when you look at your sort of geographic opportunities, you've made the announcement about regulatory approval in UAE, India, Japan. But you already arranged for a deal with SpiceJet. When you look at some of those regions, India, UAE, you have your harsh environments. And how do you think about those contracts and managing your risk on the LEAP, given that you're working in tougher places.
Russell Ford: Honestly, Doug, we love them because maintenance businesses love harsh environments. It's the entity that's writing the maintenance service contract that has to be very careful about the replacement factors that are used. But anything that causes accelerated maintenance is good for us. And clearly, we take that into account when we price things because of our experience and working on engines that operate in all kinds of environments. And the big workhorses like CFM and CF34 and soon to be LEAP. We have lots of experience, thousands of engines that we've worked on that have operated in dusty, sandy conditions in highly corrosive saltwater types of environments. And we have a very good database on the replacement factors that are required when you do work on engines like that. From a maintenance perspective, it's actually a very good thing.
Operator: Your next question today is coming from Krista Friesen from CIBC.
Krista Friesen : I was just wondering if you could maybe elaborate a little bit more on the noncore business that you exited? And if there's other parts of the business that you're looking at doing the same way?
Daniel Satterfield: Yes. That's a hydraulics business that really wasn't core to CRS. No big deal. It's part of what the CRS business has done to accrete margins is really focusing on the higher value, high-margin, high-volume product lines. This was in the hydraulics area. It really wasn't core, so they exited that.
Russell Ford: Yes. Krista, thank you for the question because this ties into a broader view of the expansion of our CRS business, we can see the demand coming at us. We've had a record number of RFPs and our win rate is above 80%. So we know we've got a lot of work coming our way. And so what we've done to prepare for that and make sure that we can take advantage is part of that is consolidation of some smaller factories into larger factories that have a greater expansion capability and the exit will continue to look at things that are lower margin less attractive businesses, we'll bring those out and redeploy that capacity towards higher-margin repair processes.
Krista Friesen : Okay. Great. And maybe if you can just provide us with an update on the ATI acquisition and if the integration is going as expected there.
Daniel Satterfield: Yes. So ATI is doing great. About $22 million of revenue in Q1, margins continue to be really strong. And the great news is, is that it's really integrating well into the existing work that we do on the J85 program. And that has a benefit not only for ATI's stand-alone P&L, which we're really dissolving into the business, but also on the J85 work that's being done in in San Antonio. So we're super happy about it, great margins in line with CRS.
Russell Ford: Operationally, it is delivering the synergies exactly as we expected. And strategically, it's opened up this entire new market space for us to begin to look at the F5 market, which uses the J85 engine as well.
Operator: Your next question today is coming from Ken Herbert from RBC Capital Markets.
Ken Herbert : I think you indicated that you delivered your first full performance restoration on a LEAP this quarter. Can you talk about what you're seeing on supply chain for LEAP parts? And obviously, on that first engine, how it went relative to your expectations?
Daniel Satterfield: Yes. Thank you, Ken. What we actually did during the first part of this year was we inducted our first full PRSV in December, this past December. It is going through the shop now, and it will be delivered later this year. Simultaneously, we have been inducting CTAMS or lighter work scope engines. The engine that I mentioned that we just delivered about 2 weeks ago was our first CTAMS. So that was a lighter work scope that we now have delivered. There will be a mixture of CTAMS and PRSVs as we go through the year. So just to be clear, inducted work delivered our CTAMS LEAP, and we have inducted and are currently working our first full PRSV heavy work scope that will be delivered here a little bit later this year. In terms of supply chain, we've not seen any significant holds relative to LEAP, mainly because we don't have the volumes built on LEAP as we move through this year is final industrialization and moving into low-rate initial production. So we've not been hampered to any significant degree by parts availability.
Ken Herbert: Okay. Great. And if I could, you indicated or you called out you -- I think you've won or put on a contract 150 shop visits for the LEAP in the first quarter. Can you just comment on maybe how big your backlog is for the LEAP or either the CTEMs or the full performance restorations and maybe what your expectations are for that backlog growth this year on the LEAP in particular?
Daniel Satterfield: Yes. We've got more than $1 billion under backlog currently for LEAP. So the pipeline is very healthy. We're continuing to win customers. We have a number of other RFPs in various stages. But in the last few months, we've actually been awarded more than $1 billion worth of LEAP programs already.
Operator: Your next question today is coming from Kristine Liwag from Morgan Stanley.
Kristine Liwag : Maybe a question on repair. I mean, Russ, you talked about how you're still getting more repair capabilities approved. So can we talk about what percent of capabilities do you have today? And how much sort of runway there is for this business because the margins are pretty attractive? And then also how quickly could you get to that potential addressable market. How much time does that take?
Russell Ford: Thank you, Kristine. The component repair business is a bottomless well of the different types of repair offerings that we could offer. And we don't just we don't randomly move through that series of opportunities. The fact is, this is where one of the areas where it's important for us to be very closely coupled with the OEM because they will, along with us, lead us towards those particular parts of the engine where the greatest need is for having repair schemes that are authorized. And a lot of times, it has to do with design robustness of certain components or it could be something that is sole-sourced or constrained. And so they will need to help relieve pressure on the supply chain and be able to continue to put engines back in service. So we're methodical and in close coordination with the OEs as we move through the development of the repair processes. And there are some engines -- I mean look, there's always repairs that are not yet developed. But again, we try to work on the ones that are most important for us and for the OE to be able to continue to get engines back to the customers in the lowest turn times possible. So that's kind of the objective. And then as we look at the opportunities for acquisitions, in the CRS area. We bear that in mind as we look at the different process capability that acquisition targets might have, does that process capability give us kind of the wherewithal to be able to handle a broader slate of repairs so that when customers come to us, Typically, a part, whether it's a case or whatever it is. It doesn't come in needing 1 single repair, it's often several repairs, multiple repairs that have to be done on that part. And if we have the bandwidth and we have the process capability and the authorization to do all of those repairs then we can return the part to service completely a lot faster than if we can only do some of those repairs and then it has to go to another company for additional outside processing -- We're always looking at what repairs would allow us to be able to perform a complete overhaul on some of those products that are the most the most constrained or need the most help according to the OEs.
Kristine Liwag: And if I could add 1 more. Are there any milestones for process or repair authorizations that you could get this year that could provide upside to your outlook?
Russell Ford: You're going to always -- yes, you can always move faster and on process repairs if the OEs see a need. And so that's why we try to stay closely coupled with them. There is no question that several of the OEs are seeing sole-sourced supply constraints, and that is opening the aperture for us with the OEs to encourage additional repair development. So I was visiting with just one of those OEs last week, and that was exactly one of the topics of conversation was we just -- we have certain suppliers that can't keep up, and we'd like to work closely with you guys to develop new repairs to be able to offset some of the logjams in the supply chain. So that's why we built this whole CRS business is not only to service the engines that we work on, but to service the rest of the industry as well.
Operator: Next question today is coming from Gavin Parsons from UBS.
Gavin Parsons : In terms of seasonality, I think you're kind of at 24% of the full year revenue guide in the first quarter, I might have thought that'd be a little more heavily second half skewed given the LEAP and the CFM ramp up. I know maybe typically, you're 2Q, 4Q weighted, but I'd love to just get your thoughts on revenue seasonality.
Russell Ford: There is some seasonality that we've seen over the years that there may have been some disturbances during the pandemic for a year or 2. But if you take a 15-year view over what our business looks like, there is a definite trend. And the trend builds from first to second quarter and then it builds again towards the second half of the year. And the reason that we can say that is because we're authorized to work on 40 different platforms. So those individual variants tend to fit together and give you a more traditional view. If we only work on 2 or 3 or 4 or 5 engines, then it's what's going on with those engines or with that customer, you see a lot more volatility. The fact that we work on so many engines across multiple OEs across multiple end market uses and customers that tends to wash out a lot of that short-term kind of volatility, and it leads you towards a more normal view of what a typical season looks like. And so it is, as I described, it usually builds from first and second quarter, and then it builds more again in the second half of the year. That's typically what we've seen over the last 15 or so years.
Gavin Parsons : That's helpful. And then were LEAP and CFM56 a meaningful contributor to the 18% commercial growth rate or still not big enough to move the needle?
Daniel Satterfield: Yes, they're right in line with what we were expected. Like I said in an earlier comment, if you look at the main revenue drivers, we talked about this in the 4Q. We expect the top 4 revenue drivers to be number 1 CFM56 in 2025, and it is right on track to achieving that and as well as LEAP. So we're pretty satisfied with performance in both those platforms in Q1.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Russell Ford for closing remarks.
Russell Ford: Okay. Thank you, Kevin. The only closing remark is that just to thank everybody for joining us. We appreciate your continued support interest in the business, and we look forward to seeing you all regularly continue to keep you updated on progress and doing exactly what we say we're going to do. So we'll speak to you again next quarter. Thanks, everyone.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.